Operator: Welcome to the Capital One Q4 2017 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Jeff Norris, Senior Vice President of Global Finance. Sir, you may begin.
Jeff Norris: Thanks very much, Leanne, and welcome, everybody to Capital One's fourth quarter 2017 earnings conference call. As usual, we are webcasting live over the Internet. To access the call on the Internet, please log on to Capital One's website at capitalone.com, and follow the links from there. In addition to the press release and financials, we've included a presentation summarizing our fourth quarter 2017 results. With me this evening is Mr. Richard Fairbank, Capital One's Chairman and Chief Executive Officer; and Scott Blackley, Capital One's Chief Financial Officer. Rich and Scott will walk you through this presentation. To access a copy of the presentation and the press release, please go to Capital One's website, click on Investors, then click on Quarterly Earnings Release. Please note that this presentation may contain forward-looking statements. Information regarding Capital One's financial performance and any forward-looking statements contained in today's discussion in the materials speak only as of the particular date or dates indicated in the materials. Capital One does not undertake any obligation to update or revise any of this information, whether as a result of new information, future events or otherwise. Numerous factors could cause our actual results to differ materially from those described in forward-looking statements. And for more information on these factors, please see the section titled Forward-looking Information in the earnings release presentation and the Risk Factors section in our annual and quarterly reports accessible at the Capital One website and filed with the SEC. And with that, I'll turn the call over to Mr. Blackley. Scott?
Scott Blackley: Thanks, Jeff. Turning to slide three, I will cover results for the quarter. In the fourth quarter, Capital One posted a net loss of $971 million or a loss of $2.17 per share. Excluding adjusting items we earned a $1.62 per share in the fourth quarter and $7.74 for the full year of 2017. Adjusting items in the quarter, which can be seen on slide 14 in the appendix of tonight's slide deck, included the following: $1.77 billion or $3.61 per share of tax expense related to the impacts of the tax act. $76 million or $0.10 per share of restructuring expenses largely related to the shutdown of our mortgage originations business. And $31 million or $0.07 per share from the build in our U.K. payment protection insurance customer refund reserve. In addition to the adjusting items in the quarter, I’d also like to highlight a few notable items that also impacted the quarter. $169 million or $0.22 per share of charges for a mortgage rep and warranty settlement which is included in our discontinued operations. $113 million or $0.15 per share of charges related to our Commercial Taxi Medallion lending portfolio. Before I go into our results for the quarter, I’d like to spend a minute on a few tax reform items which are highlighted on slide four. The total net impact of tax reform on Q4 earnings was $1.8 billion of which the biggest piece was the DTA write-down reflecting the change in the federal corporate tax rate from 35% to 21%. For 2018, we expect our annual effective tax rate to be around 19% plus or minus. I’ll caution that since tax reform was only recently passed there is still the potential for adjustments to all of our current tax related estimates. Pre-provision GAAP earnings decreased 5% on a linked quarter basis. Provision for credit losses increased 5% on a linked quarter basis as a smaller allowance build compared to the third quarter was more than offset by higher charge-offs. We have provided an allowance roll-forward by business segment, which can be found on table 8 of our earnings supplement. Let me take a moment to explain the movements in our allowance across our businesses. In our domestic Card business, we built $118 million of allowance in the quarter driven by seasonally adjusted growth and the effects of the small tail of growth math on credit losses in 2018. Allowance in our consumer banking segment increased $29 million in the quarter. The allowance in the quarter was driven by a planned accounting change to accelerate timing of charge-offs of repossessed vehicles which was partially offset by an allowance release as hurricane-related losses came in lower than our prior estimate. Net reserves in our commercial banking segment were impacted by our move of a significant portion of our Taxi Medallion business to held for sale. We’ve marked that portfolio to our estimate of a reasonable market clearing price and coupled with other Taxi related adjustments, this drove provision expense of $113 million in the quarter. In the quarter we settled the mortgage rep and warranty litigation matter which drove a loss of $160 million -- $169 million in discontinued operations. With this settlement, we have closed all of the material active litigation from our legacy rep and warranty related exposures. Turning to full year 2017 results, Capital One earned $4.1 billion or $7.74 per share on an adjusted basis. Adjusted pre-provision earnings of $13.4 billion were up 11% year-over-year as higher revenue more than offset higher non-interest expense. Net income for 2017 on an adjusted basis was up 4% as higher pre-provision earnings more than offset higher provision for credit losses. Full year efficiency ratio was 51% excluding adjusting items down from 53% in 2016. Turning to slide five, you can see that reported net interest margin was down 5% or five basis points from the third quarter primarily driven by lower domestic card yields from the full quarter impact of the Cabela’s portfolio, as well as slightly higher rate paid on consumer deposits. Net interest margin was up 18 basis points on a year-over-year basis primarily driven by higher mix of card assets on the balance sheet and the benefits from higher short-term interest rates. Turning to slide six on common equity tier 1 capital ratio, on a Basel III Standardized basis was 10.3% which reflects current phase-ins. On a standardized fully phased-in basis, it was 10.2%. We continue to believe that CET 1 under stress is our binding constraint. After digesting the effects of tax reform and adjusting our capital plan, we believe our CET 1 ratio on a fully phased in basis will trend back towards the mid-10% range. Lastly, we submitted our capital plan to the Federal Reserve at the end of December, while we cannot comment on any aspect of our regulatory feedback we are committed to addressing the Federal Reserve’s concern with our capital planning process. And with that, I’ll turn the call over to Rich. Rich?
Richard Fairbank: Thanks Scott. I’ll begin on slide 10 with fourth quarter results for our domestic card business, which include a full quarter of impacts from the addition of the Cabela’s portfolio. The run rate Cabela’s impact on charge-off rate, delinquency rate and revenue margin played out as expected in the fourth quarter. Ending loan balances were up $8.2 billion or about 8% compared to the fourth quarter of last year. Excluding Cabela’s, ending loans grew about 2%. Fourth-quarter purchase volume increased 15% from the prior year. Excluding Cabela’s, purchase volume increased about 8%. Revenue for the quarter increased 4% from the prior year; revenue margin for the quarter was 16%, down 73 basis points from the fourth quarter of 2016, driven by the expected 65 basis point impact from Cabela’s. Non-interest expense increased 1% compared to the prior year quarter. The efficiency of our domestic card business continues to improve. The charge-off rate for the quarter was 5.08% and the 30 plus delinquency rate at quarter end was 4.01%. Excluding Cabela’s, the charge-off rate was 5.36% and the 30 plus delinquency rate was 4.18%. The full year 2017 charge-off rate was 4.99%. Excluding Cabela’s, the charge-off rate was 5.07%. In the second half of 2017 we’ve seen the effects of growth math moderate and we continue to expect a small tail in 2018. As growth math runs its course, we expect that our delinquency and charge-off rate trends will be driven more by broader industry and economic factors. Slide 11 summarizes fourth-quarter results for our consumer banking business. Ending loans grew about $2 billion or 3% compared to the prior year. Average loans were up $2.6 billion or 4%. Growth in auto loans was partially offset by planned mortgage runoff. Ending deposits were up $3.9 billion or 2% versus the prior year with a 12 basis point increase in deposit rate paid compared to the fourth quarter of 2016. In the quarter, we exited the mortgage originations business. We determine that our originations business did not have sufficient scale to be competitive in a market where scale really matters. Scott discussed the adjusting item related to our exit, which runs through the other category. While fourth-quarter auto originations were down 5% compared to the prior year quarter, the auto business continues to grow with Ending loans up 13% year-over-year. Competitive intensity in auto is increasing, but we still see attractive opportunities to grow. We remain cautious about used-car prices and our underwriting assumes that prices decline. As the cycle plays out, we continue to expect the charge-off rate will increase gradually and loan growth will moderate. Consumer banking revenue for the quarter increased about 9% from the fourth quarter of last year driven by growth in auto loans as well as deposit spread and volumes. Non-interest expense for the quarter decreased 3% compared to the prior year quarter driven by our ongoing efforts to tightly manage cost. Provision for credit losses was down from the fourth quarter of 2016 primarily as the result of a smaller allowance build. Compared to the sequential quarter, provision for credit losses increased, driven by additions to the allowance that Scott discussed. Moving to slide 12 I’ll discuss our commercial banking business. Fourth quarter Ending loan balances decreased $2.3 billion or 3% year-over-year driven by our choice to streamline and pullback in several less attractive business segments, late year pay downs on agency multifamily loans and the write-down of Taxi Medallion loans. Compared to the fourth quarter of 2016 average loans increased 1% and revenue was up 2%. Non-interest expense was up 11% primarily as the result of technology investments foreclosed asset expense related to the Taxi portfolio and other business initiatives. Provision for credit losses was $100 million up $34 million from the fourth quarter of last year. Scott already discussed the fourth-quarter impacts from the decision to move most of the Taxi Medallion portfolio to held for sale. The charge-off rate for the quarter was 85 basis points. The commercial bank criticized performing loan rate for the quarter was 4.1% down 20 basis points from the third quarter. The criticized non-performing loan rate was 0.4% down 80 basis points from the third quarter. The ongoing recovery in oil and gas markets has improved the credit performance of our oil and gas business. We’ve seen our E&P portfolio return to health but we continue to see credit pressure in oilfield services. We’ve provided summaries of loans, exposures, reserves and other metrics for the oil and gas portfolios on slide 17. Capital One continued to post year-over-year growth in loans, deposits, revenues and pre-provision earnings. We continued to tightly manage cost even as we invest to grow and drive our digital transformation, and we continued to carefully manage risk across all our consumer and commercial banking businesses. We met our guidance for 2017 coming in at the high end of our domestic card charge-off rate guidance, the low-end of our total company efficiency ratio guidance and delivering 7.4% growth in EPS net of adjustments. Our 2017 results put us in a strong position as we enter the New Year. Loan growth decelerated in 2017, but we still see opportunities to book attractive and resilient loans in our card, auto and commercial banking businesses. Marketing was down a bit in 2017. We expect marketing in 2018 will be higher than 2017. On the credit front, the impact of growth math on our overall charge-off rate began to moderate in the second half of 2017, and we expect a small tail of growth math in 2018. As growth math runs its course, we expect that our domestic card charge-off rate trends will be driven more by broader industry and economic factors. Our efficiency ratio improved significantly in 2017. Over the long term, we continue to believe we will be able to achieve gradual efficiency improvement driven by growth and digital productivity gain. We expect the new tax law will also give us a significant boost. In the near term, we expect a majority of the tax benefits will fall to the bottom line. Why only a majority? I believe markets behave in predictable ways passing some of the benefit from companies to consumers and the economy. A surge in tax benefits as a way of working its way into the marketplace through increasing competition including higher levels of marketing, lower prices and higher wages. Responding to these actions will likely consume some of the tax benefit in 2018, and these competitive effects will likely increase over time. As all these effects play out, we will continue to lean into our long-standing investments in talent, technology, innovation and growth. We are bullish about the long-term benefits of our investments. Taking all of this into account, we expect that our current trajectory, coupled with the new tax law will enable us to accelerate 2018 EPS growth net of adjustments and assuming no substantial adverse change in the broader economic or credit cycles. Pulling up, in 2017 we advanced our quest to build an enduringly great franchise with the scale, brand, capabilities and infrastructure to succeed as the digital revolution transforms our industry and our society. We made strategic moves to position our businesses for long-term success. We continued to grow and serve customers with ingenuity and humanity. Our digital and technology transformation is accelerating, and we delivered solid near-term financial results for shareholders while investing in our future. We continue to be in a strong position to deliver attractive growth and returns as well as significant capital distribution subject to regulatory approval and market conditions. Now, Scott and I will be happy to answer your questions.
Jeff Norris: Thank you Rich. We’ll now start the Q&A session. As a courtesy to other investors and analysts who may wish to ask a question, please limit yourself to one question plus a single follow-up. If you have any follow-up questions after the Q&A session, investor relations team will be available after the call. Leanne, please start the Q&A
Operator: Thank you. [Operator Instructions] And our first question comes from Ryan Nash with Goldman Sachs.
Ryan Nash: Hey good evening guys. Rich, maybe you could expand a little bit on the last comment regarding accelerating EPS. I guess, one, would that exclude the benefits of tax. And when I look back on 2017, you may 7.74 yet there was almost $0.50 of notable items, you had business exits like mortgage [indiscernible], so can you maybe discuss or give us a little bit more color on the components of the accelerating EPS? And I have one follow up.
Scott Blackley: Ryan, this is Scott. I’m going to start and talk about the kind of some of the items that were in 2017. If you think about it, there’s -- in this business we always have a few things that come and go. We make decisions about trade-offs along the way. So we feel like 7.74 is a good benchmark to start our guidance for 2018. Beyond that, I would just say that we call those items out as notable because I think they are important for you to understand kind of the trends but as I mentioned, I think there’s trade-offs that we make along the way when we look at those kinds of things. Rich?
Richard Fairbank: So Ryan as you know, we typically do not give EPS guidance, and we are not giving a specific 2018 EPS forecast. In the prior quarter we told you that we expected solid EPS growth and then tax reform passed, which is clearly a good guy for EPS growth, although we expect the benefit to make its way into the marketplace over time. The timing of how that plays out is hard to predict. So all said, we expect that our current trajectory coupled with the new tax law will enable us to accelerate 2018 EPS growth net of adjustments, and assuming no substantial adverse change in the broader economic or credit cycles.
Ryan Nash: Got it. Maybe I could on a different point, so when I think about some of the comments that you made on credits, we have growth math fading, last quarter, there was mention of back book normalization, you have Cabela’s plus the impact of tax reform should be positive. So we heard from another issuer that some of their recent vintages have been, have been getting better, so while I understand that you don’t want to give credit guidance or for EPS guidance, can you maybe just talk about how you are thinking in terms of credit going forward, and that and I guess a small piece for Scott, you talked about a small piece from growth math and seasonal growth how should we think about reserves going forward? Thanks.
Scott Blackley: So yes, we’ve said that in 2018 growth math still has a small upward tail. And then eventually it becomes actually a good guy in the long run. The earlier vintages of our front book, vintage 2014 and 2015 have stabilized and eventually they’ll start coming down gradually as I mean that would be our expectation. Now of course losses on the newer vintages of our front book 2016 and after which are earlier in their seasoning process are still increasing. So when we take the blend of all of that the risk of the overall front book is still increasing modestly in 2018. But we are getting pretty close to the point when maturation on earlier vintages of growth fully offsets the impact of newer growth and this is all again kind of what we call growth math.
Richard Fairbank: Ryan, just to come to your last question on reserves, from here going forward I think that the biggest drivers of what’s going to impact the allowance as Rich said, really are the things that are going to be impacting our overall loss rate, which are broader industry events in trends, economic factors and the growth that we have during each period.
Jeff Norris: Next question please.
Operator: And our next question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Thank you, good evening. Maybe to approach Ryan questions a little bit differently. When we think about expenses in 2018, I think Rich you talked about the efficiency ratio and Scott that 51% and the fact that marketing might go higher, could you talk about how that efficiency ratio might trend through 2018 as you are reinvesting a little bit of the upside from tax?
Richard Fairbank: Well my primary comment about tax, the tax effect was how we think over time, and I’ve seen if - I think there are some parallels that I’ve seen in the past of how these things have a way of making their way into the marketplace. So again that one we’ll have to see over time. With respect to the efficiency ratio, we’ve been working so hard on this, and it’s kind of a blend of what I might call old school and new school progress, old school being just the classic really work hard and drive every penny of savings, and new school of course really is leveraging the benefits of the extraordinary technology transformation that is literally going to change everything about how the industry works. It’s certainly going to change everything about how Capital One works and change how the business works, how the customer interaction model works, and it will affect how we work, and the nature of our underlying operating model. Now that takes many, many years. That’s a continuous evolving process, but we’ve seen 300 basis points over the last couple of years of benefits. And that that’s a blend of the old school and new school kind of thing. We don’t have any -- we are not making any specific guidance about 2018, and frankly efficiency ratio can vary in any given year. But I think over the long run, we continue to believe that we can achieve gradual efficiency improvements driven by growth and the many types of productivity gains that come from technology transformation.
Sanjay Sakhrani: Okay. And maybe on credit quality just specifically when we think about where the opportunities might arise going forward I mean is there a greater opportunity go a little bit more downmarket as a result of some of the tax benefits in terms of profitability. I mean, can that impact credit quality as we look ahead. And then just to clarify on Taxi Medallion, I mean should we expect, that that portfolio will be sold and there wouldn’t be any major impacts going forward?
Scott Blackley: Yes, why don’t I start with the Taxi Medallion? So as I mentioned in my prepared remarks, we put the majority of that book in held for sale. That means that I’ve got an expectation that we are going to be able to sell that within a reasonable period of time. We marked it at a price that we thought was a reasonable estimate of where that would clear the market. So while we’ll have to see where that settles out we feel pretty good that we’ve put that risk principally behind us, and that we won’t be talking about that any further. But again, that’s a portfolio that at this point it’s going to be carried at the lower cost to market. And so if we did see any adjustments, we would make those along the way.
Richard Fairbank: With respect to the tax reform, the impact on the U.S. consumer and maybe specifically the subprime consumer, I’ll give you just a few thoughts on that. I think, it’s hard to predict how this will play out. If likely there will be positive effects, both to the consumer and to the broader economy. While there is some direct benefits to the consumer, I think with respect to this particular tax reform the primary benefits of this are indirect, and they are going to play out over time, and in many ways it’s a little bit a flip side of the same coin of what I was saying with respect to what happens to the tax windfall relative the company, and I believe firmly that it’s just overtime makes its way into the marketplace in for in terms of more competition, lower pricing, higher wages, more investment and these things do have an impact on consumers. Now with respect to the subprime consumer, it’s possible that this might have a stronger impact. More subprime borrowers struggle with day-to-day expenses and modest increases in wages, and take-home pay will likely have a somewhat differential impact. But I think we shouldn’t exaggerate this impact because many subprime book borrowers are doing well in the current economy with relatively solid incomes. So we are not baking any impacts into our outlooks for subprime credit although we are certainly hopeful that tax reforms will have a benefit. I do want to put a cautionary note relative to the credit opportunity and that is because my primary point about tax reform and trying to predict how it plays out is one of predicting competitive effects and the way things move into the marketplace. I think the biggest driver, I mean, other than very big changes in the economy, the biggest driver of our appetite to grow credit and particularly in this segment is really driven by the supply and demand – the supply and demand that we see in the credit marketplace. And if we look back to the -- I think there's an interesting lesson. I myself want to go off -- go back and dusted off a little bit from the 2005 bankruptcy reform. The 2005 bankruptcy reform created somewhat of a windfall in the marketplace. And what in that period of time now of course there were lot of factors going on. But we saw that windfall make its way into the marketplace in the form of more up marketing, more aggressive pricing and frankly in that particular case also, and again there are other things going on, more aggressive underwriting. And so, at the end of the day the competitive intensity became problematic. So, I think – so we’re going to have to see how this thing plays out, but we are not putting into our credit forecasts or really our business growth forecast, the direct impact of this because we’re going to watch as it plays out. But if I pull up, I'm hopeful that we can find similar growth opportunities in the near-term by overall how the marketplace appears to us and one factor would be this one.
Jeff Norris: Next question please.
Operator: And our next question comes from Don Fandetti with Wells Fargo.
Don Fandetti: Hi, Rich. If you look at the December domestic card delinquencies on a year-to-year basis, they actually improved a little bit again in December. Can you talk a little bit about how you see that trending? And then, I think in the past on the charge-off rate in card you sort of have called it out when you expect it move. So is no news, good news meaning that maybe you could come hang out around this sort of five -- low 5% range?
Richard Fairbank: So, Don, I think that our domestic card charge-off rate increased on a month-over-month basis by 21 basis points between November and December. And that's kind of in line with what we would expect from normal seasonality. Now when things come in just consistent with seasonality, that's a good thing because there is also other effects, growth math and things going on, so we certainly saw that as a good month. On a year-over-year basis the increase in our December losses was a few basis points more than December, I mean, more the November, excuse me, but the underlying trend of moderating year-over-year increases is clear. So it’s another month of performance that's consistent with our own expectations of how growth math works. But with every month that plays out we like the confirmation of that and so we view it as a good thing. But I again noticed our guidance about a small tail of growth math etcetera. Our commentary on this is really unchanged from the last quarter and frankly several quarters, but this is certainly playing out consistent with how we would've expected.
Don Fandetti: Got it. We were sort of looking ex Cabela's on the delinquencies, but quickly on the auto delinquencies, it looks like they were up a good bit year-over-year? Was there some type of one-time adjustment?
Richard Fairbank: Yes. On auto nonperforming loan side there was an impact of -- we made an accounting adjustment to include some of the repossessed assets as loans, we move those at other, that’s impacting that. I don't think that I can recall anything otherwise that would impact DQs particularly in the quarter.
Jeff Norris: Next question please.
Richard Fairbank: Sorry, I think our own view of the data we see over the -- the monthly data we've seen this quarter is consistent with our view that we've been talking about that, I think the auto business is really performing quite well from -- and probably the industry right at this moment performing quite well. From a credit point of view, we worry about the things that the risk that are out there like used car prices in particular and possibly a increase in competitive activity, but for right now my observation is the auto marketplace is in a pretty good place competitively. The competitive intensity steps up a bit in the fourth quarter which is why our origination volume was down off the kind of unusually high levels of a year ago where the competition had backed off quite a bit. But I think we're still seeing generally performance that’s consistent with the middle of the cycle and something that confirms our own confidence and happiness about our own choices and are performance.
Jeff Norris: Now, next question please.
Operator: And we’ll take our next question from Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi. Good evening. How are you?
Richard Fairbank: Hi, Betsy.
Betsy Graseck: Hi. Two questions. One just on the growth math, how much growth math do you think was in this quarter versus the prior quarter, I’m just trying to understand if we saw some deceleration already that you’re looking for?
Richard Fairbank: We are seeing deceleration, but my point is not so much a – well, I mean, yes, we've seen it in the second half. We saw the deceleration in the third quarter. I'm speaking of our growth math itself and that's the impact on the year-over-year loss rate driven by our front book. So, we saw deceleration in the third quarter and again on the fourth quarter. So, I mean, every quarter there’s small effect, but it's all part of the natural phenomenon here and I think that's why we expect a small tail in 2018.
Betsy Graseck: Okay. And then just the follow-up on the use of the tax benefit, you are in a position where you could have pretty important impact on your earnings if you ratchet up the marketing. And I get your point that in prior periods when you had one-time changes, there was lot of heavy competition that might not have had a long tail benefit to it, but we're in a different spot now with the pretty permanent decline in the tax rate. So, I’m just wondering if you think that -- given that more permanent tax rate change doesn't make us to wait and see what others do or take a leader position in trying to get that incremental customer in the door with a stepped-up marketing program? Why wait to see what the competitors do?
Richard Fairbank: Well, Betsy, I think that we have a hypothesis about how this thing plays out over time. I think we already carried into -- on Capital One we carry an investment agenda that we believe very much in and that we will continue to invest in. I think we feel pretty good about the growth opportunities that are there. We’re going to take advantage of them. But I think we are going to – we’re going to continue doing the kind of things that we've been doing. And my primary point -- my kind of two points about the tax law is, one, we’re reluctant to give guidance to investors about how much this is going to drop to the bottom line because I think it will have a way over time to make its way into the marketplace. And of course we’re going to need to respond to that. And my other point is that, I think there will be impacts that it has on the consumer and I think in the near term particularly some of those may be good, but I think what -- we already feel pretty good about our growth opportunities. Marketing is going to be a little up over last year and we’re going to just watch very carefully how this plays out. I'm struck by others who say -- who are so confident about what percent of the tax impact is going to fall to the bottom line because I don't feel that we have that particular ability to predict this because I think it's the marketplace thing.
Jeff Norris: Next question please.
Operator: And we’ll take our next question from Chris Brendler with Buckingham.
Chris Brendler: Hi. Thanks. Good evening. I just like to talk about the domestic card for a second, growth ex Cabela's has slowed down to low single digits, it’s obviously a competitive market but you're still out there with this pretty aggressive marketing on both the Quicksilver and Venture products. Is that something that you expected to rebound in 2018? Or is just a new normal? Thanks.
Scott Blackley: Well, I think you've seen our purchase volume metrics there and purchase volume growth continues to be pretty strong. The slower growth of Capital One outstandings is probably partly a comment on the marketplace a little bit, but the direct impact to the marketplace, but I think it's more so a comment about the choices that we have made. So I want to you know we kind of think back to the last -- really back to 2014 in sort of early to mid 2014 we said that we anticipate an outsized growth benefit and told the marketplace we expected to grow significantly. And in the second half of 2014, all through 2015 and into 2016 we grew pretty much at the top of the league tables. Around that time, we started flagging that we are concerned about certain supply -- competitive supply issues out there. We’re very carefully monitoring what's going on in our own metrics. And we started to dial back a bit. Not a huge dial back, but dial back progressively around the edges in 2016. In early 2017 you remember when we said that we saw in our own data and in industry data a gapping out of vintage curves a bit. In the second quarter 2016 vintage and we said it striking that it happened, but it's not surprising because this is sort of the natural effect. So, over this period of time we have been as the marketplace has been increasing in supply we have dial back and want to be sure that we can get confirmation about exactly where that read is with respect to the consumer and the impact of competition. Over the course of this year competitive intensity has settled out a little bit. Supply -- the growth of our revolving credit, it has slowed down. It’s still above GDP growth of course, but I think there are a number of signs that things are settling out a little bit and that's a good sign. What we worry about is whether things rapidly go toward a bad place competitively and I don't think that is happening. So hopefully there will be a little more growth opportunity next year than there was this year. But I think mostly the numbers on the outstanding side that you see from Capital One are really a reflection of choices on our part and the actual -- the marketing that we’re doing and the products that we are selling we feel very good about it and I think are generating nice results.
Chris Brendler: Great. Thanks. And then my follow-up, I’ll ask about deposits, the consumer deposit cost picked up little bit this quarter. You also saw some decent growth in the consumer deposits. I guess the question all time about your online deposit business and how robust that business is and how sensible is to rising rates. My sense is its doing pretty well. It's hard to see with your current disclosures. Can you just talk about the deposit pricing environment and what you see going forward little bit of focus on online versus offline? Thanks.
Scott Blackley: Yes. I think if you want to understand Capital One on the deposit side, I think the first thing I would say is just study direct banking and study local banking because we’re blend of the two. And we -- our deposit pricing will reflect that blend overtime. And for example, at the end of last year we made some pricing moves and a little bit at the beginning of this year that will make their way into our numbers as we make sure on the direct side of the business that we stay in a reasonably competitive place. The other thing to understand about Capital One as you think about our deposit business is that we overtime are working to build the national business. We overtime have brought in -- we have grown a lot, our outstandings have grown a lot both from organic growth but also from acquisitions like the GE Healthcare acquisition, the Cabela's acquisition. So if you look at the deposit-to-loan ratio it's on the low end of sort of our norms and overtime we would expect that to grow because their assets have grown, they will be growing and we’re building a national banking capability. The reason I mention that is that pretty much any bank who is looking to grow its deposits quite a bit will end up paying up more for deposits in a bank who is at the high end of the deposit-to-loan ratio. So it's really not just an issue of what somebody's beta is, it's really kind of – its kind of a -- its the double strategic question of what beta of a business is and what is the growth appetite and needs of that particular business.
Jeff Norris: Next question please.
Operator: And we’ll take our next question from Rick Shane with JPMorgan.
Rick Shane: Thanks guys for taking my question. Hey, Scott, one of things that jumped out to me is that the tax rate that you’re suggesting for 2018 substantially lower than many of the other companies we’ve spoken. I assume that this is a reflection of differences between GAAP and tax accounting. And I'm specifically wondering if this is another signal that charge-offs which drive tax are going to potentially exceed provision which drives GAAP?
Scott Blackley: Rick, I think actually the answer is a bit simpler than that. If you think about Capital One virtually the lion share of our income is from U.S. sources. And so taking down the domestic tax rate from 35 to 21 was a huge tailwind for us, because that impacts the lion share of our income. And then on top of that if you think about we do have some tax-advantaged assets that we own that generate some credits and that's what takes the fully loaded rate inclusive of kind of the stack cost down to the 19% level. So, I don't think there's more to it than that simple explanation.
Rick Shane: Got it. It’s interesting because, historically, your tax rates been a little bit lower, but this is substantially lower. Just one quick follow-up question, the $62 adjusted number, does that include or exclude the discontinued operations?
Richard Fairbank: The $62 excludes discontinued operations. And you can see -- we got a slide there in the appendix that gives you the specifics of what we adjust out.
Jeff Norris: Next question please.
Operator: And we’ll take our next question from Bill Carcache with Nomura Instinet.
Bill Carcache: Thank you. Good evening. Rich, if we see year-over-year change in delinquencies that you talked about earlier actually turned negative which doesn't seem that far-fetched given that we were at 70 basis points year-over-year change back in February down to the kind of like around six now. And I wonder if you could maybe help us think about whether that could actually provide a basis for releasing reserves, all else equal?
Richard Fairbank: So, one thing I want to say as you look at the year-over-year change in delinquencies, of course, think about the Cabela's impact that will be in the new numbers and not in a year ago's numbers, so all the way up until the fall basically the fall of next year they will sort of the that effect, so we’ll have to keep that one in mind. So, the year-over-year change in delinquencies or charge-offs or any of these are going to be driven really by a combination of growth math and industry factors. The good news is the growth math is reaching the latter stages of being a bad guy if you will. Long run we think it can be a gradual good guy. But of course we have the industry effect that I don't want know to -- I want to make sure we shine a little bit of light on that. We’ve talked about in the last couple of quarters, earnings calls about back book. If you look at -- if you want to get probably the purest, look at sort of industry effects, just go to the securitization trust and just look at everybody’s back books. And what you will see is for many years the back book -- everybody's back books were a good guy relative they were improving year-over-year. And what striking if you graph the year-over-year change in people's back book delinquencies and also charge-offs you just see this packed kind of set of lines that goes from the negative below the horizontal axis which is a good thing and it just moves over time to the horizontal axis and even in the last year it has been above that which is a nerdy way to say it's gone from being a good guy to a little bit of a bad guy. So there are industry effects. It's very natural that at this stage of the cycle there would be industry effect. And the other thing for each issuer than is on top of whatever happens with each of our back books is to think about what's happening to everybody's front books. Capital One is I think a little benefited by the fact that we’re farther along in that particular journey than some of the other players, but it is through the everybody's front book that most of the industry normalization happens because it is-- the credit hungry people that get the new accounts and then that tends to be right there at the frontier of how normalization happens. So, we believe there is an industry effect that is happening. We expect it will continue and we’ll have to -- and how that thing plays out relative to the growth math going from overtime for us from a bad guy to a neutral guy, to a good guy. That’s going to in the end drive our overall credit numbers.
Bill Carcache: Thanks Rich. And if I could just follow-up, it seems like that all the discussion around the things we’re talking about with delinquencies bode well for revenue suppression. Can you talk a little bit about how we should think about the trajectory I guess on revenue margin? I think there's a lot of focus on slowing growth and the impact that that's having on the top line. But I wonder just if there are some offsetting benefits that we should also be thinking about kind of along those lines. Any thoughts would be helpful? Thanks.
Scott Blackley: Yes, Bill, this is Scott. So, certainly suppression is been driven by the same set of factors that have been impacting the credit metrics and the allowance. So as those start to moderate, I think that we would certainly expect that suppression will also be driven by broader industry factors and the things that are impacting our overall loss rate.
Jeff Norris: Next question please.
Operator: And we’ll take our next question from Ashish Sabadra with Deutsche Bank.
Ashish Sabadra: Thanks. My question was about, when I look at the portfolio, the subprime portfolio has continue to come down from 37% earlier in the year to 34% to end the year in the fourth quarter. Should we -- given the underwriting refinements that you've done, should continue to see that trend continue going forward? And then just as we think about when the growth is coming from higher credit score does that change the shift between transactors and revolvers and any implications of those on the loan yield? Thanks.
Richard Fairbank: Yes. Ashish, I think that -- I don't think there's any big news with respect to what's happening to the subprime mix Capital One. I mean, how many years has it been that we’ve been generally around the third? That number did rise during the growth surge of 2014 through 2016, that number rose, and I think it's headed back to little bit more normal levels. So on inside Capital One and the conversations we’re having, we don't see a big mix conversation happening in every segment and sub-segment we look at the market and see what it has to give us. And there was a little bit more a few years ago and I think now it's probably more just to kind of normal mix. With respect to transactor versus revolver, that is not much about subprime mix. That is really most driven by the growth in heavy spenders and the success of our efforts to drive purchase volume. And when you look at that growth rate and for many years now it's been outstripping the growth rate of outstandings, it's a manifestation that the transactor component depending how you define it, that mix of transactor and basically spender inside our portfolio is growing over time.
Ashish Sabadra: That’s helpful. And then just regarding the window of opportunity and my understanding you’ve start, sounded cautious and looking at the competitive environment there. But what are the metrics that you’re watching for in particular? Is there anything like you called out a couple of them? So given that competitors have been burned in the second half of 2016 with aggressive promotions? Do you think the large issuers will be a lot more cautious this time around? Or will they take the benefit of the windfall? So just any more color on that front? Thanks.
Richard Fairbank: Yes. Well, I tend to simplistically look at the marketplace as the revolver marketplace and the spender marketplace. And they are two different marketplaces. Certainly, the most intense one competitively is the spender marketplace. And we have just seen sort of steady ratcheting up of rewards and other forms of giveaways, very striking what has happened over the last few years with respect to upfront bonuses, and also by the way that some of the co-brand products and the little bit of an arms race there with respect to some of their offerings, all of this has happen on a pretty gradually intensifying basis over the last several years. To your point though, I think it has moderated a bit. Certainly the early spender bonus has moderated a little bit. I sense a bit of, I mean, this is with the small B, but a bit of settling out with respect to the spender competitive marketplace. But it settling out at a very intense level and I think that I would guess from my years of experience in this thing, only the players that have really build a branded franchise based position in this marketplace are going to be able to continue to grow profitably and we are one of those and we continue to do like our chances. But we certainly watch very carefully that marketplace. And one thing that we are focused on is because the value of this franchise is primarily driven by how long your customers stay with you. Is nothing but expensive to get them and they tend to over the long term be an amazing franchises of low attrition and tremendous credit performance and heavy spending and all of that nice stuff. But -- so, we tend to be on the low side with respect to going after all the promotional near-term kind of stuff. It's a little -- makes it a harder way to make a living, but I think that we like the long-term performance with that philosophy. In the revolver marketplace what -- certainly the best news in the revolver marketplace has been the stability of pricing over many years. APRs have been stable and actually increasing a little bit over time. And if you – while it’s hard to exactly get a really good metric on the industries APR in this marketplace, I would say, I think it has increased a little bit more than interest rates have. So relative to say that the middle of the OOs when things were going crazy, I think that's a good sign relative to the marketplace. To your question what we worry most about is just the amount of supply and how aggressive people are in expanding credit boxes and going out there. And while I think pricing has been stable. There was some aggressiveness in that revolver marketplace that we were uncomfortable with in 2016 in particular and somewhat in 2017, I think people have dialed back a little bit. I think things have settled out a little bit and that might be a good sign. So, all-in-all I've said this for many years relative to a lot of markets I've e seen, I think the credit card market is intensely competitive but really pretty darn rational. And I think it's – there’s an opportunity to grow successfully, profitably and resiliently, and we believe that we see that opportunity in front of us.
Jeff Norris: Next question please.
Operator: And our next question comes from Chris Donat with Sandler O'Neill.
Chris Donat: Hi. Thanks for taking my question. Wanted to revisit from a little different angle the question of deposit pricing, and Rich I’m wondering with some of the investments you've made in technology over the last few years, if you're in more of a place with deposit pricing where you were decades ago with the other side of the balance sheet on loan pricing and being better able to target or at leasing market on a more direct basis, that’s competitive advantage that other traditional brick-and-mortar banks don't have. Anyway I'm just wondering where you think you stand, competitively on the technology related to deposit pricing?
Richard Fairbank: So, I don't -- I wouldn't say that I think the big advantage that we hope to obtain is the technology for really micro-targeting deposit pricing. Although that certainly – there’s a lot of investment in that across the industry. I think the technology that I am bullish about being very helpful to us is actually the consumer facing technology of online banking and being able to have a great online experience combined with and build on the shoulders of an infrastructure that we spent years investing in to modernize and integrate from our direct bank and our local bank to modernize and integrate and in a sense rebuild the full technology stack to be able to really credibly offer online banking backed by a thin physical distribution and be able to compete against some of the really great established players. So, my bullishness is really more about that technology than necessarily a real advantage in terms of a micro pricing at the margin.
Chris Donat: Okay. Thanks for that. And then just one question on your expectations for used vehicle pricing, you said you’re looking for them to be down and that seems appropriately cautious and conservative. But do you think – were these expectations set before factoring in the tax act or does that not really factor into I expect these vehicle prices to play out this year?
Richard Fairbank: We have not yet rolled any particular assumptions about attacks impact making its way into the used-car pricing. I think if you just look historically at used-car pricing, it is not a lot of science and amazing analysis behind. Honestly, if you just eyeball used-car pricing it just has been, it sat for a long long time at very high levels, and while cars I think are lasting longer and so on, I think this thing had only one way to go, and it has gone down. Interestingly, Manheim does not reflect this, but our own where we have a Capital One index our own index which is has a little bit more of an end, a mix of used cars then some I mean in older cars that certainly has gone down. It’s been locally, it’s been lately stable and even probably rising a bit over the last few months. But I think that the way I look at this from a underwriting point of view, it doesn’t matter how high, how where used-car prices are. What really matters is where they end up relative to where they were when people underwrote them. And so when an industry is sitting near all-time highs, while Capital One puts in our own underwriting quite a significant decline in used-car pricing. My intuition is the industry just gets too comfortable with the recent history of high used-car prices. And so again, it’s not about where you are, where you are whether they are high or low, it’s just whether the where they are on underwriting versus going forward. And I think there is a way higher chance that they are going down from here than that they are going up and that that’s concerning from an underwriting point of view.
Jeff Norris: Next question, please.
Operator: And we’ll take our next question from Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch: Great, thanks. Rich, you had mentioned that the prospects of your strong growth opportunities and it’s been referenced a couple of times in the call that you’ve had some fairly significant deceleration on the credit card and a little bit of deceleration in auto. Maybe and the fact that you think that the competitors could get a little more aggressive following seeing those big tax benefits. So maybe if you could just tell us where you think that growth, where we should be expecting that growth to come from?
Richard Fairbank: Yes, so first of all your list is a compelling list of things to be concerned about. And I don’t want, when I say that I’m hopeful for know some enhanced growth opportunity, this is off the base of where we came in with a not counting Cabela’s to 2% year-over-year growth in the card business. So it’s a bit of a low bar of competition when we are talking about up or down from here. But not being flip and about that, what I would know on the positive side, let me start with the negative side. So the negative side is the potential, the potential impact of competitors getting more aggressive, but from this windfall and the empirically some of the same things that we seem competitively particularly last year, and also the fairly high levels of growth of credit, of indebtedness of revolving credit for example. On the positive side is, over the last number of quarters a little bit of a reduction in supply. You can feel people trimming in their underwriting a little bit. We also have the benefit of more and more months of watching vintage curves settle out. You just no matter how many years I’ve been in this business, it you can, you can believe these things go up and settle out and someday they go down but it’s comforting to see them move in the way that we would expect and so as we get more of our own experience watching these curves settle out and then retro analyzing on every micro segment and so on it tends to lend itself to a little bit more of a growth opportunity. But we’ll have to see how this plays out. This is not a -- that I’m not sitting here saying I really think there’s a big dramatic growth play here. I just feel pretty good about the opportunity in card. I think if I could comment on auto, the experience over the last number of years has been in a business that’s intensely -- it’s, it’s got amplified, the impacts of competition get amplified and auto because there is an auction, there is an auctioneer sitting in the middle of our lending. And so, the we have seen the value of some competitors backing off in the auto business, you’ve seen such significant growth from Capital One. Lately, it’s a little bit more competitive than before. I think if I pull way up and calibrate relative to all times in the cycle, I think the growth opportunity is still pretty good in the auto business, and the overall -- the industry dynamics for an industry that is so hypersensitive to supply I think are pretty good. Moshe on the commercial side, we really haven’t talked much about that. I think probably for all players certainly Capital One that the latter part of the year, growth was kind of slow. I think overall though in the commercial space, the and I think that there is a lot of supply out there. I think investors have been pushed out on the risk curve a little bit to seek returns, and I think that the and the impact of nonbanks in the lending space is becoming more significant. So I think our view is pretty moderate there, but we’ll have to see.
Moshe Orenbuch: Just maybe a quick call upon on capital, your capital levels right now are kind of a – just actually just above where they were at the beginning of the CCAR cycle last year. And so how do we think when you said significant capital distributions in which we think about comparable amounts to what had been in the, in the plan for 2017. As we go for it and recognizing you should have more higher levels of earnings in...
Richard Fairbank: No, Moshe when you think about capital distribution, I mentioned that we want to see our CET 1 kind of drift back to what we think of destination levels is as kind of in the mid-10ths. And so, in the near term I think some of the positive effects of tax reform are going to help us to get there, while still having room for growth, and for capital distribution. And then in overtime, we’ll see exactly how earnings play out and how much competition we see, but if there’s a windfall from tax reform that is enduring that certainly gives us more opportunity for growth and for capital distribution.
Jeff Norris: Next question, please.
Operator: And we’ll take our next question from John Pancari with Evercore.
John Pancari: Good evening. Just another way to ask the vintage question. If I’m looking at the domestic card charge-offs and the current charge-off rate ex-Cabela’s of 536, that’s up from the 464 last quarter. And I know the seasonality there, but can you tell us how much of that 70 basis point differential or a 70 basis point change was from the front book of -- front book growth math versus back book deterioration? Thanks.
Richard Fairbank: John, there were -- there was I’m not – not really going to precisely break those two things out, but that they were both factors in that. And the over the -- in 2017 the back book effect grew and the front book affect over progressive quarters declined consistent with our growth math. But both -- but both factors were meaningful in the year-over-year delta, but the bigger of the two was the growth math.
John Pancari: Okay, all right that’s helpful. Thanks, and then lastly, the on the auto originations that I heard, what you said about that it still represents an opportunity for you, the growth in the auto business but also flagging that it’s still somewhat competitive, as we look at originations I know there are down 5% year-over-year. What’s – how should we think about overall originations as you look at 2018, is it fair to assume that we are up low single digits?
Richard Fairbank: Gosh, we are the company that has no sets, no growth targets for any of our businesses, because we believe so strongly that in a risk management business and a business in which underwriting isn’t just an actuarial science, it’s really driven by adverse selection and the nature of supply and demand at the margin we make predictions internally as we budget, but and if you just look at our prior behavior, in fact I’ll take you back to that I think it was the last quarter of 2015 when we cautioned, we came in with a really big drop in originations and said that what we had been generally cautioning about really was kind of quite a bit a big deal competitively with respect to some bad practices and the nature of supply, so we had much lower volumes there. By the time we had fully gotten our investors to internalize our concerns we posted a very, it’s almost like record originations and origination growth in the following couple of quarters. So I think that what I would, so what we do is we describe the conditions that we see in that marketplace, but as a company that doesn’t set growth targets, we work incredibly hard to create growth opportunities, but at the end of the day we take what the market will give us. And as I said before, the auto business relative to something like the card business is amplified in the impact of competitive effects, and therefore we see the opportunity for as long as we can, we generally like this part of the auto site, marketplace where it is, but it is noteworthy that in the fourth quarter, we posted a lower origination then we have for some time now, and I think that’s just because the competitive thing is in fact stepping up a little bit.
Jeff Norris: Next question, please.
Operator: And our last question for the evening comes from Ken Bruce with Bank of America.
Ken Bruce: Thanks, good evening guys. My question relates to the guidance that the earnings growth will accelerate in 2018 and off the 7.74 benchmark. I mean most of us I think had expected that to occur anyway just with the with cold spring beginning to release of the earnings growth potential of the tax rate going from your high 20s to 19 should really put that on steroids. I’m trying to kind of figure out if you are just being extremely cautious around what – what or conservative around kind of what that acceleration can be or if you are seeing anything that as you think about the competitive intensity and the potential for this to be competed away that it’s coming sooner than later. I mean, I think that that would take place over some period of time. Most of your bank peers are trying to rebuild capital after the DTA write-downs and the like so, if you could just maybe kind of give us some thought as to kind of where your are most concerned about repricing [credit card and auto] loans lower or other kind of really aggressive marketing activity that could significantly undermine your earnings growth potential assumes to me as can be really good.
Richard Fairbank: Well I mean as we – so first of all how we feel about our business and its prospects is very similar to where we were at the day before. And in fact last quarter when we were talking to you and so what happened this quarter will along came the tax reform bill. So are we -- so the first of all we are the same company with the same kind of feeling about our prospects that we had prior to the tax effect. And our point is, in the near-term the tax thing have to be I mean, it’s hard to imagine that it couldn’t be a an important good guy relative to financial performance for ourselves, and really everyone else. And all we are saying is, that we are very reluctant to get in the prediction business and in fact not only reluctant to get in the prediction of business, but my own experience from just doing this business for over two decades now is I have seen windfalls and shortfall that hit the industry over the next couple of years they have a striking way to make their place there that their way into the marketplace. So examples, I mentioned the example of the bankruptcy reform in 2005. There is the tax act of 1986, and I wasn’t born yet so that was more reading a history book there, but from our little kind of retro study of that and not as experts, but that there was a lot of sort of making its way into the marketplace there. And then conversely, when I’ve been struck over the years how when the times get tougher and tighter in their credit pressures and things like this, there are ways that their credit card business in particular has a way of offsetting that with respect to the overall metrics. So for example, how volatile the credit card charge-offs are, and it’s a little bit of a scary exercise to take any P&L of a credit card business and then just project the wild volatility that can happen with respect to losses and then you say, well gosh if losses were that high and you just had all the same things that would be terrible or if losses got incredibly good, you would be printing money at a staggering kind of level. But the offsetting effects that happened in the marketplace have been striking to me in both directions over the years. So, I look at this and so my point is partly we certainly don’t want to be in the guidance business about that number but you all can draw your own conclusions and we are not by the way, I want to make it clear, we are not going to try to be one that sets an arms race off at all with respect to this. This is more of a just a prediction that things have a way of going into the marketplace and that my caution to investors would be I wouldn’t book this stuff before it, totally happen to be the biggest question is not whether it is when and the timing and to your point there is a good case to be made that this is a gradual thing it’s not an immediate thing and therefore particularly in 2018, this I think stands to be quite a good guy.
Ken Bruce: Thank you. And just lastly, and hopefully quickly the in terms of the increasing competitiveness in auto is are you seeing that in terms of expanding of credit box again, or are you seeing it in terms of pricing or something else?
Richard Fairbank: No, I think it’s a mild, it’s little a locally mild thing. I, like we go running down the streets waving red flags when we see bad underwriting process and practices. We, we don’t really have anything new to report there. I don’t think, I don’t think there’s anything dramatic. I think what is happening is we’ve had an unusually benign if you will period of competition in the 2016 and 2017 period. That I think we will look back at that and say, it normalized from there, and I think that it’s just a natural thing. People move into those spaces a little bit more. Some of the folks that maybe had backed off a little bit, particularly one of them is stepping it up a bit and I think all this is natural, so it – I think it’s much more likely this thing will normalize competitively than that it will be as good as it was for these last couple years for us.
Jeff Norris: Thank you very much everyone for joining us on this conference call today. And thank you for your continuing interest in Capital One. Remember, the Investor Relations team will be here this evening to answer any further questions you may have. Have a great evening.
Operator: And that does conclude today’s conference. Thank you for your participation. You may now disconnect.